Akash Tewari:
Asad Haider:
Cory William Kasimov:
Daina Michelle Graybosch:
Jessica Macomber Fye:
Tazeen Ahmad:
Terence C. Flynn:
Operator: Welcome to BioNTech Second Quarter 2025 Earnings Call. I would like to hand the call over to Douglas Maffei, Vice President, Strategy and Investor Relations. Please go ahead.
Douglas Maffei: Thank you, operator. Good morning and good afternoon. Thank you for joining BioNTech's Second Quarter 2025 Earnings Call. As a reminder, the slides we will use during this call and the corresponding press release can be found in the Investor Relations section of our website. On the next slide, you will see our forward-looking statements disclaimer. Additional information about these statements and other risks are described in our filings with the U.S. Securities and Exchange Commission, or SEC. Forward-looking statements on this call are subject to significant risks and uncertainties and speak only as of the date of this conference call. We undertake no obligation to update or revise any of these statements. On Slide 3, you can find the agenda for today's call. I'm joined by the following members of BioNTech's management team: Ugur Sahin, Chief Executive Officer and Co-Founder; Ozlem Tureci, Chief Medical Officer and Co-Founder; Ramón Zapata, Chief Financial Officer; and Ryan Richardson, Chief Strategy Officer. With this, I'll hand the call over to Ugur. Ugur Sahin Thank you, Doug, and a warm welcome to you all as you join us today. Doug joined BioNTech recently as our new Head of Investor Relations, and I would like to welcome him to the company. As previously announced, Ramón Zapata joined last month as our new Chief Financial Officer and will be speaking on the call today. Ramón is a seasoned financial leader with a wealth of international pharmaceutical experience from companies, including Novartis and Sandoz. With over 25 years of experience, Ramón has a deep understanding of market and business dynamics, resource optimization and high-performing teams. We are delighted to have Ramón on board and look forward to working together in the coming months and years. Our long-serving Chief Strategy Officer, Ryan Richardson, will depart BioNTech in September. I would like to thank Ryan for his many contributions and commitment as we develop BioNTech from a private clinical stage biotech into a NASDAQ-listed fully integrated biotechnology company. Management Board and I wish Ryan all the best as he embarks on the next chapter of his career. I will now continue with our overarching vision and strategy. As BioNTech has grown and evolved significantly over the years, our vision has remained unchanged to translate science into survival by building an immunotherapy powerhouse and becoming a fully integrated biopharmaceutical company with multiple approved therapies. We believe that the future of cancer treatment and the ability to improve cure rates will be driven by combination therapies that combine compounds with synergistic mechanisms of action. Aligned to our vision, we are working to address the full continuum of cancer across different stages. From resected cancers, which are in the adjuvant stage and at risk of recurrence to early-stage metastatic cancers as well as the late-stage cancers, which are refractory to multiple treatments. We have built a robust pipeline with compounds from different drug classes that are well suited to achieve this across a broad range of cancers, allowing for novel-novel combination of next-generation immunomodulators with targeted therapies and mRNA cancer immunotherapies. With a clear focus, we will continue to invest in our technologies and drug candidates that have the potential to improve outcomes for patients across a wide range of tumor types. We are focused on 2 priority pan-tumor programs, our mRNA cancer immunotherapies, including FixVac & iNeST and our bispecific antibody BNT327, that targets PD-L1 and VEGF-A. Both approaches have disruptive potential and align to our vision. We believe these programs could establish new standards of care, enhancing patient outcomes in multiple cancer indications globally. We are investing significantly in the clinical development of these programs across various cancer types and stages. At the same time, we are building commercial infrastructure to enable future launches in key markets and enhancing manufacturing capabilities to support both clinical trials and commercial supply. Moving now to our key achievements from this quarter related to our outlined strategy and vision. We believe BNT327 has the potential to become a standard of care treatment across a broad range of tumor types, including those currently treated with checkpoint inhibitors and those where checkpoint inhibitors have previously not shown benefit. Core to our strategy is developing combinations of BNT327 with a broad range of potentially synergistic therapeutics. With such combinations, we may be able to improve the safety and efficacy profile, thereby unlocking better clinical outcomes for as many patients as possible in areas of high unmet medical need. Earlier this year, we closed the acquisition of Biotheus and with that, fully integrated BNT327 into our pipeline. In order to significantly accelerate and broaden its clinical development, we entered into a global 50-50 co-development and co-commercialization collaboration with BMS in June. Since the announcement, our teams have collaborated closely to shape joint development plans to unlock BNT327's full potential. We believe BNT327 has broad potential to be a next-generation IO backbone. We will continue to drive its clinical development with the goal to establish a new standard of care for cancer patients across multiple tumor types. In the quarter, we also dosed the first patient in a new cohort evaluating our NSCLC FixVac BNT116 in combination with our B7-H3 antibody drug conjugate, BNT324. This is another important source for the company in terms of novel combinations, combining an mRNA cancer immunotherapy with an ADC. We see great potential to combine targeted therapies such as ADCs with mRNA cancer immunotherapies. ADCs can debug metastatic tumors and alter the tumor microenvironment and mRNA cancer immunotherapies may be more effective in creating polyfunctional and durable tumor-associated antigen-specific T cell responses once the primary tumor is partially degraded. Also in the quarter, we took steps to strengthen mRNA as one of our platform technologies. We announced a strategic transaction to acquire CureVac in a public exchange offer. This planned transaction aims at complementing BioNTech's capabilities and proprietary technologies in mRNA design, delivery formulations and mRNA manufacturing. With regard to our COVID-19 vaccine franchise, which is partnered with Pfizer, we are preparing for the global commercial rollout of our new variant adapted COVID-19 vaccine for the upcoming season, pending regulatory approvals. Data recently presented and shared with regulators globally indicated that LP.8.1 strain adapted COVID-19 vaccines confer improved immune response against currently dominant and emerging sublineages compared to vaccine formulations used in the 2024, 2025 vaccination campaigns. Lastly, we expanded our partnership with the U.K. government to broaden our regional R&D activities for innovative medicines with plans to invest up to GBP 1 billion over the coming decade. The agreement builds on our existing multiyear collaboration aimed at accelerating clinical trials for personalized mRNA immunotherapies and focuses on establishing 2 new R&D centers and our London-based U.K. headquarters. We were able to achieve all this while maintaining a strong financial position. Leveraging our COVID-19 vaccine business and our fortress balance sheet, we will continue to invest significantly in the clinical development of our priority oncology programs across key tumor indications. Now coming to our recent landmark collaboration with BMS. We aim to establish BNT327 broadly as a new standard of care across multiple tumor types. We are currently advancing BNT327 across more than 10 indications, including 2 global registrational trials with more planned. Our early conviction around this modality and BNT327 has put us in a strong position. And if approved, we aim to be the first or second to launch in a number of indications to help patients in need. Our collaboration with BMS aims to strengthen both companies' position in oncology. Our decision to partner reflects our belief in the transformative potential of BNT327. In recent years, we have built out our capabilities to support the development and planned commercialization of our growing oncology pipeline. To support this growth, we have established a global clinical development organization, international clinical manufacturing capabilities and have begun to establish a commercial organization. Today, we are closer to the goal becoming a multiproduct global oncology company and see this partnership as supporting that transition. With BMS deep immuno-oncology expertise, market presence, commercial capabilities and global reach, they are the ideal partner for us and this asset. We also see commonality in their science-led approach and focus on shaping the oncology market through novel modalities and combinations. We have a clear shared vision in this regard, and I look forward to our companies working closely together. I will now turn the call over to Ozlem to provide more details on select clinical programs.
Ozlem Tureci: Thank you, Ugur. I'm glad to be speaking with everyone today. Let me start by highlighting where we stand with the programs that are spearheading our pipeline. With our PD-L1 VEGF-A bispecific antibody BNT327, we have initiated 2 global pivotal clinical trials in first-line small cell and non-small cell lung cancer and expect to start a third Phase III in first-line triple-negative breast cancer later this year. We aim to further accelerate and expand BNT327 development with a strategic partnership with Bristol-Myers Squibb. For our mRNA cancer immunotherapies, including FixVac & iNeST, we anticipate sharing clinical updates in late 2025 and early 2026. As we look towards becoming a commercial oncology company, we are advancing toward our first oncology BLA submission with BNT323, our HER2 ADC in HER2-expressing second-line endometrial cancer. BNT327 localizes the blockade of PD-L1 and VEGF-A signaling to the tumor. This bispecific is designed to deliver superior antitumor immune modulatory and anti-angiogenic effects compared to the combination of the 2 individual antibodies and with the potential to minimize adverse events associated with systemic anti-VEGF-A therapy. We now have data from over 1,200 patients, which show signals of single agent and combination antitumor activity across tumor types where checkpoint inhibitors are and are not effective. Additionally, we have observed a manageable safety and tolerability profile at multiple dose levels with low rates of high-grade treatment-related adverse events. We have also seen low rates of high-grade adverse events typically observed with VEGF-A targeted therapies. In totality, the clinical data generated to date further strengthen our conviction in this asset and allow us to make informed and robust decision for our clinical development strategy. With this clinical database for BNT327 and with the anti-PD-L1 and anti-VEGF-A mechanism, having been evaluated and validated across numerous tumor types and in some cases, in combination with each other, we have a clear road map for development. We aim to develop BNT327 in tumor types where checkpoint inhibitors have been successful for only a group of patients and also in tumor types where checkpoint inhibitors have not yet been successful in improving patient outcomes. We are pursuing a 3-wave development strategy that we refer to as Establish, Combine, Broaden. We believe that this approach positions us to expand the therapeutic impact across a broader oncology landscape and realize the full potential of this asset. In the last quarter, we have continued to progress in executing this strategy. With our first wave of development, we aim to establish BNT327 combined with chemotherapy as a new standard of care for 3 key priority indications, small cell lung cancer, non-small cell lung cancer and triple-negative breast cancer. This first wave leverages clinical data from multiple Phase I and Phase II clinical trials generated and published in the last 12 months. These data have encouraged us to start multiple registrational studies in these indications. Our 2 global pivotal studies for BNT327 are progressing. The first ROSETTA Lung-01 is evaluating BNT327 in combination with chemotherapy versus atezolizumab in combination with chemotherapy as a first-line treatment of patients with extensive stage small cell lung cancer. The second, ROSETTA Lung-02 is evaluating BNT327 in combination with chemotherapy versus pembrolizumab in combination with chemotherapy as a first-line treatment of patients with squamous or non-squamous non-small cell lung cancer regardless of PD-L1 status. We also plan to start a Phase III trial, ROSETTA Breast-01 in first-line triple-negative breast cancer later this year. The high medical need in these 3 indications and the clinical data we have seen so far in these tumor types are the reason for choosing these first indications. Extensive stage small cell lung cancer is an immunologically cold tumor for which high unmet need remains. Today, these patients are treated with a combination of atezolizumab and chemotherapy and experienced a median overall survival of 12.3 months as observed in the EMPOWER-1 Phase III clinical trial. Based on our emerging data, we believe that BNT327 has the potential to improve clinical outcomes for patients with small cell lung cancer. Earlier this year, at the European Lung Cancer Congress, we disclosed interim data from a Phase II clinical trial evaluating BNT327 in combination with chemotherapy as a first-line treatment for patients with extensive stage small cell lung cancer. Beyond the encouraging response rate and median progression-free survival observed, the ELCC data also included for the first time, median overall survival data with a median overall survival of 16.8 months. While these data are still immature, we are encouraged by the findings. These data support our decision to evaluate BNT327 in combination with chemotherapy in the ongoing global randomized Phase III clinical trial with ROSETTA Lung-01. In the last quarter, we completed enrollment in the global Phase II dose optimization trial evaluating BNT327 in combination with chemotherapy in patients with untreated extensive stage small cell lung cancer and in patients with small cell lung cancer that progressed after first or second-line treatment, and we'll provide a data update from this clinical trial later this year. Another priority indication is non-small cell lung cancer as it's one of the most prevalent cancers globally. Long-term outcomes depend on PD-L1 status and histology, but overall remain poor despite improvements in care by checkpoint inhibitors. At the ASCO Annual Meeting last year, we presented data from the Phase I trial evaluating BNT327 as a monotherapy first-line treatment in metastatic PD-L1 positive non-small cell lung cancer. BNT327 monotherapy indicated encouraging antitumor activity across PD-L1 low and high tumors and manageable safety in this patient population. These data support our decision to start ROSETTA Lung-02, our global Phase III trial that evaluates BNT327 in combination with chemotherapy to improve on survival outcomes when compared to standard of care pembrolizumab in combination with chemotherapy as a first-line therapy for non-small cell lung cancer patients without actionable genomic alterations. Today, we are enrolling patients in the Phase II part and expect to progress to the Phase III part later this year. Triple-negative breast cancer is also a priority indication for BNT327 based on the unmet need we see for patients and based on the clinical profile observed to date. Currently, Stage IV patients depending on their PD-L1 status are either treated with checkpoint inhibitor in combination with chemotherapy or with chemotherapy alone. PD-L1 positive patients have a median overall survival of 23 months, while PD-L1 negative patients have a median overall survival of 15.2 months as observed in the KEYNOTE-355 study. Data from a study in first-line metastatic triple-negative breast cancer showed that BNT327 in combination with chemotherapy has an encouragingly high objective response rate irrespective of PD-L1 status. We also observed in the trial encouraging landmark overall survival rates such as 69.7% at 18 months for BNT327 in this setting, suggesting that effective control of disease can translate into improved overall survival. Based on these data, we plan to start a Phase III trial later this year in the first-line setting. We have also continued enrollment in our global Phase II dose optimization trial evaluating BNT327 in combination with chemotherapy in the first- and second-line treatment of patients with locally advanced or metastatic triple-negative breast cancer. We plan to share data also from the Phase II trial at a medical meeting later this year. Our second wave of development with BNT327 reflects that IO plus ADC combos are an emerging treatment paradigm in oncology. We have started exploring combinations of BNT327 with our ADCs directed against TROP2, HER2 and B7-H3 from our partnerships with Duality informed by a robust database of single-agent data for these ADCs. In the second quarter, we dosed the first patients in 2 new BNT327 ADC combination studies. The first is a Phase I/II clinical trial that is evaluating BNT327 in combination with BNT323, our HER2-targeted ADC in HR-positive and negative HER2 low and ultra-low metastatic breast cancer patients. The second is a Phase II clinical trial that is evaluating BNT327 in combination with BNT324, our B7-H3 ADC in multiple types of lung cancer, including non-small cell and small cell lung cancer patients, patients with known actionable genomic alterations and across treatment lines. In July, we also dosed the first patient in another Phase II trial that is evaluating BNT327 in combination with our B7-H3 ADC in additional tumor types, including hepatocellular carcinoma, cervical cancer, melanoma and head and neck squamous cell carcinoma. Later this year, we plan to initiate our first clinical trial evaluating BNT327 in combination with BNT326, our HER3 targeted ADC. The first BNT327 ADC combination trial evaluating BNT327 in combination with BNT325, our TROP2 ADC in multiple tumor types was initiated a few months ago, and we are starting to get initial data. At the AACR Annual Meeting earlier this year, we demonstrated that when dosed in combination, BNT327 and our TROP2 ADC demonstrated superior antitumor effects preclinically compared to each drug alone. Our preliminary clinical data in a still small sample size suggests that BNT327 plus BNT325 had a manageable safety profile with few overlapping toxicities and clinically meaningful activity. These data provide the first early support for our ambition to combine BNT327 and ADCs with the aim of replacing the chemotherapy in some treatment regimens. We believe that combination regimens in which traditional chemotherapy is replaced by targeted chemotherapy in the form of ADCs may be more tolerable and potentially more efficacious, especially when those regimens are combining through synergistic approaches. Over the coming 12 to 18 months, we will gather preliminary clinical data from the signal-seeking BNT327 ADC combination clinical trials to help us define which ADC combinations in which indications to prioritize for late-stage development. The last wave of our [ freeway ] strategy aims at further broadening our global clinical development program with BNT327 through additional novel combinations and across additional tumor types. We anticipate that some of the early studies evaluating novel combinations or evaluating new tumor types will begin this year. One clinical trial, which we anticipate will begin soon is a Phase I/II clinical trial evaluating BNT327 in combination with the bispecific we are developing with our partner, Genmab, that targets both EpCAM and 4-1BB in metastatic colorectal cancer patients. EpCAM is highly expressed in colorectal cancer. The other arm of the molecule is a potent 4-1BB agonist. When activated 4-1BB signaling promotes T cell activity and survival. We are excited to bring this and other novel combinations into the clinic soon, and we look forward to updating you on these trials and their rationale as we move forward. As demonstrated in these 3 ways, we have broad ambitions for BNT327 development that we continue to pursue with focus. Along with our partner, BMS, we feel uniquely positioned to fully leverage the complete breadth of potential of this molecule. We will work expeditiously to execute the next global registrational trials and accelerate bringing BNT327 to market in multiple areas. Moving now to our mRNA cancer immunotherapy platform, which is the other cornerstone of our oncology strategy and includes iNeST & FixVac. Autogene cevumeran, also known as BNT122, developed in partnership with Genentech, is based on the iNeST platform. iNeST targets neoantigens, which are unique tumor-specific mutations and is manufactured on demand for each individual patient. We believe this approach to be best suited for the early stage, including adjuvant setting. FixVac in contrast targets shared non-mutated tumor antigens and is an off-the-shelf approach in combination with checkpoint immunotherapy. We believe that these programs have pan-tumor potential and could be combined with different modalities to address large patient populations with high unmet medical need. While our robust clinical development program continues for our whole mRNA cancer immunotherapy pipeline, we look forward to providing data updates from our trials later in late 2025 and 2026. While we are evaluating our mRNA cancer immunotherapies with approved checkpoint inhibitors or chemotherapy, we consider our mRNA cancer immunotherapies is ideal for novel-novel combinations and partners for both our immune modulators and our targeted therapies. We are excited to have recently dosed the first patient in an exploratory cohort evaluating our non-small cell lung cancer FixVac, BNT116 and our B7-H3 targeted ADC and anticipate dosing the first patient in the exploratory cohort with our HER3 targeted ADC soon. Given they are available off the shelf, we believe that our FixVac candidates are uniquely positioned as combination partners in the metastatic setting when patients do not have time to wait for fully personalized approaches. Turning to the 2025 data update. Earlier this year, we announced that we received data from a Phase II trial evaluating our individualized RNA immunotherapy Autogene cevumeran in combination with pembrolizumab versus pembrolizumab alone as a first-line treatment for patients with metastatic or advanced melanoma. The trial did not meet its primary endpoint of a statistically significant improvement in progression-free survival in this advanced patient population. However, we did observe a numerical trend favoring the combination arm in overall survival. We will be presenting the top line data from this trial at the upcoming ESMO Congress in October. We believe that these data support our view that our fully individualized mRNA cancer immunotherapies are best positioned in earlier settings, such as adjuvant treatment regimen. In early settings, tumor mass is low, resistance and immune suppression mechanisms have not been established and the immune system is much healthier. And this is where all 3 of our current Phase II clinical trials are positioned. Last year, we announced that our FixVac candidate for melanoma, BNT111, met the primary endpoint in a randomized Phase II trial evaluating BNT111 in combination with cemiplimab and also assessing both antibodies alone in patients with anti-PD-1 relapsed or refractory melanoma. We will also be presenting these data at the upcoming ESMO Congress, and we will discuss the path forward for this program around then. Next, a data update from a cohort evaluating our non-small cell lung cancer FixVac, BNT116, in combination with cemiplimab as treatment for patients with unresectable Stage 3 non-small cell lung cancer after receiving concurrent chemo radiotherapy will be provided at the 2025 World Conference on Lung Cancer in September. We continue to generate clinical data for BNT116 in multiple non-small cell lung cancer treatment settings, demonstrating the broad potential of our FixVac approach. To conclude, we remain as strongly convinced as ever that our combination-based approach offers the potential to positively impact the future outcomes for patients in key indications such as in breast and lung cancer. With that, I will now pass the presentation to our CFO, Ramón Zapata.
Ramón Zapata-Gomez: Thank you, Ozlem. It's an honor to be here today for my first earnings call as BioNTech's Chief Financial Officer. Since joining, I had the opportunity to meet many of our talented teams. I look forward to working with them and the management Board to accelerate our common vision, which Ugur and Ozlem just walked us through. As BioNTech navigates its transition towards becoming a multiproduct company in the oncology field, I will focus on driving sustainable organizational excellence and global execution in financial reporting, accounting, tax, treasury and purchasing with the aim of furthering cost-effective value generation. As part of my responsibilities, I'm also looking forward to collaborating with Doug, our new Head of Investor Relations. Together, we are serving as your primary points of contact, and I hope to meet many of you in the coming weeks. With that, I will now cover our financial results for the second quarter of 2025. For the 3 months ended June 30, 2025, our total revenues reached approximately EUR 261 million compared to EUR 129 million for the second quarter of 2024. The increase compared to the second quarter of 2024 is mainly driven by higher revenues derived from our COVID-19 vaccine collaboration. In addition, parts of our total revenues were also derived from a pandemic preparedness agreement with the German government and from a onetime effect associated with Pfizer's opt-out from the development of our shingles program. Research and development expenses were approximately EUR 509 million for the second quarter of 2025 compared to approximately EUR 585 million for the comparative prior year period. The decrease was mainly driven by the reprioritization of clinical trials towards focused programs. SG&A expense amounted to approximately EUR 138 million in the second quarter of 2025 compared to EUR 184 million in the comparative prior year period. The decrease was primarily driven by a reduction in external services. For the second quarter of 2025, we reported a net loss of EUR 387 million compared to a net loss of EUR 808 million for the comparative prior year period. Our basic and diluted loss per share for the second quarter of 2025 was EUR 1.60 compared to a basic and diluted loss per share of EUR 3.36 for the comparative prior year period. During the quarter, we maintained our strong financial position with EUR 16 billion in cash plus security investments. This strategic cash reserve and robust financial position provides us the flexibility to fully pursue our long-term strategy in the coming years. As part of that strategy, we will continue to invest in the development of our immunomodulator and individualized therapies and in the build-out of the manufacturing capacities and capabilities to support additional late-stage trials and commercialization of our growing oncology portfolio. To create long-term value, we aim to advance our clinical programs fast, responsibly and cost efficiently towards potential registration. And with that goal in mind, I would like to guide you through what we anticipate to be the financial effects of the collaboration with BMS. As Ugur highlighted in the key strategic drivers of this partnership, it is a landmark deal that will allow us to broaden the potential clinical utility and global access to BNT327, a key piece of our diversification into oncology. I will now focus on the anticipated financial implications of this deal, which we believe will significantly strengthen our cash position and P&L for the years to come. As part of the agreement, we expect to receive USD 1.5 billion in an upfront cash payment this year. This payment is to be reflected in our cash position as of Q3 2025. We also expect to receive USD 2 billion in total noncontingent anniversary cash payments through 2028. The upfront and noncontingent cash payments amounting to $3.5 billion are expected to be recognized as revenues over the development phase of BNT327. In addition, we will be eligible to receive up to USD 7.6 billion in development, regulatory and commercial milestones. The majority of milestone payments are expected to be triggered upon approvals and during commercialization. All milestone payments are anticipated to be recognized as revenues following milestone achievement. Also, as part of the agreement, we will share joint BNT327 development and manufacturing costs on a 50-50 basis with BMS, subject to certain exceptions. Upon commercialization, global profits and losses will be equally shared between BMS and ourselves. Turning to the next slide. We are reaffirming the company's financial guidance for the 2025 financial year with revenue expected to be in the range of EUR 1.7 billion to EUR 2.2 billion. Research and development expenses expected to be in the range of EUR 2.6 billion to EUR 2.8 billion, SG&A expenses expected to be in the range of EUR 650 million to EUR 750 million and capital expenditures expected to be in the range of EUR 250 million to EUR 350 million. We anticipate a revenue phasing weighted towards the last 3, 4 months of the year, driving the full year revenue figure. Given the COVID-19 vaccine market dynamics and shifting policy, specifically in the United States, we assume lower COVID-19 vaccination rates than the prior year. However, we continue to expect similar market share and pricing as compared to 2024. We continue to monitor current and potential further developments in law, public policy, international trade and public sentiment as they continue to evolve and could further impact our anticipated COVID-19 vaccine revenues and expenses. In addition, regarding our revenue outlook, we estimate some inventory write-downs and other charges in the range of roughly 15% of BioNTech's share of gross profit from COVID-19 vaccine sales in Pfizer's territory. Beyond our COVID-19 vaccine business, we also expect revenues from a pandemic preparedness contract with the German government as well as revenues from our collaborations, now including BMS, and our service businesses to contribute to our overall group revenues. To conclude, and looking ahead, we continue to diligently invest in our growth strategy while maintaining financial discipline. We remain focused on achieving long-term sustainable growth and generating value for patients and shareholders. With that, I would like to turn the call over to Ryan for concluding remarks. Thank you.
Ryan Richardson: Thank you, Ramón. I will close our prepared remarks with a brief summary of our 2025 strategic priorities. As Ugur mentioned, we continue to focus on executing against 2 pan-tumor product opportunities, BNT327 and our mRNA cancer immunotherapies, FixVac and iNeST. We currently have multiple ongoing Phase II and III trials across these programs, reflecting our strategy to bring novel combinations to patients. We expect to generate additional meaningful data for these programs throughout this and early next year. We also continue to build out our commercial capabilities in oncology to support our goal of becoming a fully integrated biopharmaceutical company. These include a broad global commercial leadership team to drive our transition to the commercial stage in oncology, beginning with the potential approval and launch of BNT323 as early as 2026. In infectious diseases, we have continued to invest to maintain our and Pfizer's global leadership position in the COVID-19 vaccine market while advancing next-generation and combination vaccines in the clinic. On the next slide, I would like to highlight some important investor events we'll be holding this year. Our second AI Day will take place on October 1. We also plan to hold our Innovation Series event on November 11, and we'll share more details on both events later in the year. Finally, I would like to conclude on a personal note. As Ugur mentioned, I will step down from my executive role at BioNTech at the end of September. As this is my last earnings call as Chief Strategy Officer, I would like to extend my deepest gratitude to those in the investment and analyst community who have been long-term supporters of our efforts to positively impact patients' lives. I would also like to thank my colleagues on the supervisory and management boards as well as my teams for their dedication and collaboration during these crucial and fruitful years. It has been a true privilege to support BioNTech's transformation into one of the most exciting disruptors in our industry, and I'm very excited to follow the company's continued growth in the years to come. With that, we would like to open the floor for questions.
Operator: [Operator Instructions] And your first question today comes from the line of Tazeen Ahmad from Bank of America.
Tazeen Ahmad: First of all, Ryan, thanks for all of your help from the IPO onward, and you'll be missed. Can I just ask for a little bit of clarity about how you're thinking about vaccine development on a go-forward basis? You've talked about continuing to invest in the infectious disease segment of the business. You talked about combination therapies. Just based on where you're seeing vaccination rates now, let's focus on the U.S., what do you think are going to be the products that are going to motivate people to perhaps increase their rate of vaccinations for ones that, for example, need annual or maybe biannual rates of vaccination just because it does seem like stats indicate that those rates are tending to flow lower? And why does it make sense to continue investing in that?
Ryan Richardson: Yes. Thank you, Tazeen. I'll start off and appreciate the kind words. In terms of vaccine development, of course, our COVID-19 vaccine business is going to continue to be a priority for the company, along with building out oncology and entering the commercial stage. And I think in terms of the rates of vaccination, we've seen lower rates of vaccination for COVID-19 over the past couple of years, and we've guided to a range that we think reflects a similar ballpark this year. We've noted that, of course, that's still subject to certain policy dynamics, and we're continuing to track that. But we feel overall pretty good about the overall value proposition of the COVID-19 vaccine franchise. And so we've seen rates of about 20% over the last couple of years. Obviously, we're going to track that going in here to the second half of the year, which is the main part of the season, but we think we're on track overall to be ready to meet market demand. And we do think that even in a market that's focused on the high-risk population, that's still a substantial number of people, approximately 100 million in the United States. And this is also going to continue to be a global business. So I think overall, we're going to be prepared with Pfizer to continue market leadership in COVID-19. And I think as it relates to your question about what's driving demand, I think ultimately, it's going to continue to be based on the value proposition of these vaccines. And so we're going to continue to work on next-generation concepts, including exploring combination vaccines that we think could add additional value for patients in the coming years. And beyond COVID-19, too, we have a number of vaccine programs that are in either preclinical or Phase I development. Our strategy as it relates to vaccines aside from COVID will remain focused on leveraging partnerships to bring those forward.
Ramón Zapata-Gomez: Thank you, Ryan, and thank you, Tazeen, for the question. I also believe that we expect the combination vaccines will gradually complement rather than replace stand-alone COVID-19 vaccine. There are several factors that may sustain demand for monovalent vaccine beyond convenience considerations, such as immunocompromised patients, overwhelming preference of 60-plus population to receive high-dose flu plus a mono COVID vaccine and some asynchronous vaccination schedules where patients need COVID-19 boosters. So I think as Ryan is mentioning, so we still hold a very high market share, more than 50% across worldwide with Pfizer, and we are prepared as well to keep developing our combination and keep leading in this market.
Operator: And your next question comes from the line of Terence Flynn from Morgan Stanley.
Terence C. Flynn: Great. Best of luck, Ryan, in next steps. I was just wondering on the 327 trial, ROSETTA Lung-02, if you can tell us the doses that you're exploring in the Phase II portion? And then can you just confirm again that you'd plan to release any top line data here from the Phase II portion before year-end? We didn't see that on the slides, but just wanted to confirm the timing of that data release.
Ryan Richardson: Yes. Thank you, Terence. So I think the question is around doses for the Phase II portion and top line data. Ozlem, do you want to take that?
Ozlem Tureci: Yes, Yes, I can take that. We will talk to doses actually for both trials, our Lung-01 in small cell lung cancer and Lung-02 in non-small cell lung cancer later this year for the small cell lung cancer study, Part 1, you will hear already more in September on the WCLC.
Operator: Your next question comes from the line of Daina Graybosch from Leerink Partners.
Daina Michelle Graybosch: I wonder if you can talk more about BNT327 in frontline TNBC and how you're thinking about the success of the TROP2 ADC, both in combo with PD-1 and without in PD-L1 high and low, if you could still do a study without a TROP2 ADC in frontline in your control arm or in your active arm.
Ugur Sahin: Daina, I can take this question. Yes, that's right. TNBC provides for BNT327 several opportunities. We have generated data in TNBC with chemotherapy in combo reaching a PFS between 13 to 14 months and highly encouraging OS data. And of course, the combination with TROP2 or other ADCs, we have also HER3 ADC and could provide the opportunity to further increase the efficacy. And these are, as you might remember, one of the combo studies that we are doing at the moment is BNT327 and BNT325, our TROP2 ADC. And based on the data, we might decide also to go for a combo in this indication.
Operator: Your next question comes from the line of Cory Kasimov from Evercore.
Cory William Kasimov: First of all, Ryan, been great interacting with you over all these years and best of luck with what's coming up next. I guess I'll go with my first ever question for Ramón. And thinking about the model, how do you see R&D spend now evolving over the intermediate to long term post your deal with Bristol? This collaboration should clearly offset a significant amount of future expenses, but is the plan to reallocate the majority of those to other programs or still somewhat TBD there?
Ramón Zapata-Gomez: Thank you, Cory, for the question. So I think increasing investments into our priority late-stage program, of course, BNT327 that now are going to be with collaboration, but also in mRNA cancer immunotherapies and ADCs would be some of the key drivers. Now having said that, we will be very consistent with our portfolio prioritization strategy, and we also expect to decrease our R&D spending outside of these priority areas. So we expect R&D to increase in the second half of this year. And as we see the starting phases of the work in Phase III BNT327 in TNBC and BNT323 in EC as Ozlem was alluding to. And as we see how these programs are progressing as well in FixVac and iNeST, we will be, of course, updating you accordingly on how do we see this spending going more towards the 2-, 3-year period.
Operator: Your next question comes from the line of Asad Haider from Goldman Sachs.
Asad Haider: Great. Congratulations on all the progress and best of luck, Ryan. Just one quick question back to the COVID question, just your assumption on lower vaccination rates relative to last year. You are keeping revenue guidance the same, recognizing it is a wide range. But any quantification in terms of the pushes and pulls with respect to vaccination uptake would be helpful. And then second, just in the context of the deal with Bristol, maybe just double-click a little bit more on the acceleration strategy, specifically with respect to any new Phase III trials that have been planned since the announcement of the collaboration? And then also just on the development costs, given that they'll be 50-50, how should we be thinking about the cadence of R&D spend going forward? And then if I can just squeeze one last one on the FixVac's melanoma trial. If you could just double-click on what you're planning to present at ESMO and the overall plans for that program going forward?
Ryan Richardson: So great. So I think, Ramón, maybe you want to take the first 2 questions and then Ozlem can take the ESMO question.
Ramón Zapata-Gomez: Yes. So thank you, Asad. I -- on the revenue guidance for the COVID-19 market. So as I was saying, so we anticipate that this revenue is going to be phased over the last 3 or 4 months of this year. Given the COVID-19 vaccine market dynamics and shifting policy, we assume that we will have lower COVID-19 vaccination rate than previous year, but we also need to take this into consideration with the fact that the vaccination rates in the U.S. are already low at around 20%. So I mean, like this is going to be maybe a couple of points lower. But we are still believing that the pricing and our market share assumptions are going to be broadly in line with previous year. So that's what I would say on COVID. And then on BMS Phase III trials, in the collaboration, I think it's clear. So it's going to be a 50-50 development cost R&D spend, and we will -- as these programs progress through the different phases, so we will have transparency on these amounts.
Ryan Richardson: And of course, on the BMS collaboration, new trials are being considered and evaluated right now, and those decisions will be communicated once made.
Ozlem Tureci: Yes. And there was, I think, a question for 111, our melanoma FixVac, which I can answer, namely what we are going to present at ESMO. We will -- this year, we will present the efficacy data. This trial has an objective response rate and duration of objective response rate primary endpoint. And this data will be matured until later this year and will be presented. We will also speak to secondary endpoints like PFS and OS and safety data, and there will be also some translational data characterization of the immune responses.
Operator: Your next question comes from the line of Akash Tewari from Jefferies.
Akash Tewari: Ryan, it was really a pleasure working with you. I'll keep it a little more general. Look, under the new FDA regime, has the BioNTech team seen any shift in the FDA's willingness to accept Chinese data for your VEGF bispecific or the ADCs? And for 327, for NSCLC, small cell and then TNBC, can you tell us whether -- when you'd be able to satisfy Project Optimus regulatory requirements and proceed with the go-forward Phase III dose for these 3 indications?
Ryan Richardson: Great. Thank you, Akash. Ugur or Ozlem, do you want to take that?
Ozlem Tureci: Yes. We are discussing and finalizing these discussions currently for all 3 indications in which we are in Phase III trials. The discussions are very positive because, as you know, we are producing on top of the China data, which we have in early parts of our Phase II/III [indiscernible] independent global studies, also some dose data and dose optimization data in the Western population. We think that within the next couple of weeks, we will be able to move ahead in all those 3 indications.
Operator: Your next question comes from the line of Jessica Fye from JPMorgan.
Jessica Macomber Fye: Ryan, similarly, it's been great working with you over the years. I have a few on the pipeline. So with the upcoming global Phase II readouts for BNT327, can you remind us when you say, for example, the small cell data and non-small cell data is expected this year, will we see that data? And if so, what endpoints will we see? And what are the relevant benchmarks in those settings? Second, for the registrational HER2-positive endometrial cohort, did that slip a bit? I think we were previously expecting a file by year-end '25, and now it sounds like data at a conference in '26. So I just want to confirm whether we'll hear top line data this year or what the time line is. And then lastly, for the iNeST randomized Phase II in ctDNA-positive adjuvant colon cancer, can you just share your latest expectation for timing there?
Ryan Richardson: Yes. Thank you, Jess. I think maybe just on the last one, I can briefly comment and then hand over to Ozlem to speak to the benchmark to the small cell lung cancer and non-small cell. So on adjuvant CRC, we're maintaining our prior guidance that we're expecting data late 2025 or early '26, and we think we're on track to meet that in terms of the adjuvant CRC data for iNeST. Ozlem, do you want to address the 327 questions?
Ozlem Tureci: Yes. The 327 question, the question was small cell lung cancer trial and our non-small cell lung cancer trial, the benchmark, right? Did I get that right? So for the small cell lung cancer -- actually, for both trials, our aim is to achieve clinically meaningful and statistically significant improvement over the standard of care for the small cell lung cancer trial, ROSETTA-01, our primary endpoint is OS. And for the non-small cell lung cancer trial, we have a dual endpoint, PFS and OS. And when I say standard of care, the benchmark trials or the benchmarks we are comparing against for small cell lung cancer is IMpower133 with OS -- median OS outcomes there. And for non-small cell lung cancer, we have both non-squamous and squamous histologies covered in our Phase III trial. And here, we refer to the KEYNOTE-189 and the KEYNOTE-407 studies as benchmarks. And I think there was a question regarding 323, right, when we will show data from that study. The plan is to share data from our single-arm second-line endometrial cancer study, which will also be the data package for BLA submission later this year. This data will be shared in early 2026. We want to make sure that the data further matures and that the data, which will be shared with the community is in sync with the data we are planning to submit to FDA.
Operator: And the final question comes from the line of Yaron Werber from TD Cowen.
Unidentified Analyst: [indiscernible] on for Yaron. Congrats on your quarter. On the competition for BNT327, Pfizer said that their asset binds to -- when their asset binds to VEGF, it increases the affinity PD-1 by 100-fold. Is this kind of cooperative binding also true for BNT327? And are there any other points of differentiation you might note between yours and Pfizer's molecule besides obvious PD-1 versus PD-L1?
Ryan Richardson: Ugur, do you want to take the question on whether or not 327 has a cooperative binding effect and other points of differentiation?
Ugur Sahin: Yes. I can take this question. I think the mechanism is more complicated than this. And we will present the mechanism probably mid next year in our conference. We are evaluating the mechanism for BNT327. As you know, it's a binder, which binds in the tumor microenvironment, PD-L1 and thereby provides opportunity to bind also in the tumor microenvironment to VEGF-A. And the combination of both has synergistic activities, but it's not simple. The increase of the affinity is more complicated.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.